Operator: Good morning. My name is Chris and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the Home Capital Group’s Third Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions]  Jill MacRae, VP of Investor Relations, you may begin.
Jill MacRae: Thank you, Chris. Good morning, everyone, and thank you for joining us today and apologies for the delay, we missed our time. Our agenda for today's presentation is as follows. We'll begin the call with remarks from Yousry Bissada, Home's President and CEO; Brad Kotush, our CFO will then review our financial performance, which will be followed by a question-and-answer period for participants. We have members of our senior management team with us on the call to help answer your questions. On behalf of those speaking today, I note that this call may contain forward-looking statements and that actual results could differ materially from forecast, projections or conclusions in these statements. Please refer to our advisory on forward-looking statements on Page 2 of the presentation. I would also remind listeners that Home uses non-GAAP financial measures to arrive at adjusted results, and that management will be referring to both reported and adjusted results in their remarks. And now, I'd like to turn the call over to Yousry Bissada.
Yousry Bissada: Good morning, and thanks for joining. I’m pleased to be speaking to you today about our third quarter results. This was a quarter of good progress along the road back to the new normal of working and living conditions, conditions that we all missed and want to get back to. I am pleased and comforted with the prudent and measured approach to opening up that governments, we here at Home Capital, and other businesses are taking to ensure that any progress is sustainable and endurable. We are seeing the benefits of this approach, not just in the form of higher GDP and employment figures, but also in the ability of people to gather safely again. Here at Home Capital, this was a quarter of progress as we moved forward in all areas of our operation, executing on our plans for our core business, technology, and our deposit operation. Today, I’ll be discussing the current state of the housing affordability, our activities during the quarter, our outlook for the balance of the year, and our capital structure. After a bit of a breather earlier this summer, sales volume in September and October seemed to be picking up across all housing types in our major markets. Prices have moved steadily higher as the growth in new listings is not keeping pace with the growth in sales. Attention is turning to the supply side of the equation to address the affordability gap. Here at Home, we’re happy to see this. Canadians have repeatedly demonstrated their passion and commitment to home ownership and we share their view that everyone deserves the comfort and security of their home. While it will require years of commitments and the coordination from all levels of governments, as well as developers, lenders and investors, to create sustainable solutions, the current level of attention to this subject is a good first step. Turning to our third quarter earnings, today we’re reporting net income of $1.08 per share. We delivered strong growth in our book value and return on equity. Our teams also did a lot of work to set us up for future growth and I’m pleased with the progress in a number of key areas this quarter. First, in originations. Our residential sales and underwriting teams followed up a strong Q2 with an even better Q3. The processes and strategies we have put in place to drive growth are functioning the way we intended. For instance, working with our broker partners to become more efficient at processing applications, and using the capability of our new CRM system to increase broker engagement. On the commercial side, originations picked up over Q2 and we’re adding good business in attractive segments of the market. While we have started to benefit from our return to pre-pandemic underwriting guidelines during the quarter, we delivered this growth without compromising the prudent underwriting standards that we are known for. Our healthy credit experience this quarter and for the year-to-date reflects the underwriting discipline. Not only were our credit losses minimum, but the percentage of nonperforming loans as a share of gross loans has declined to more pre-pandemic levels. Further the continuing upward revision to economic outlook led to an additional release of our credit allowance. Brad will discuss more specifics on this portion of his presentation. Turning to our funding’s side. Customer deposits to our Oaken channel grew to $4.3 billion and I'm happy to announce that our Oaken branch launched the Oaken app in early October for both iOS and android devices. The launch follows extensive testing and feedback in one of our agile working groups. It offers flexibility, intuitive navigation and an excellent user experience, as well as the ability for our customers to review their accounts with us 24/7. Our launch of the Oaken app aligned with our strategy of serving customers the way they want to be served. We are working to increase engagement with the app across all our Oaken customers. Over time, we’ll be adding more features to enable a broader range of transaction options. I look forward to sharing our progress with you all. Beyond Oaken, we continue to move forward with our funding diversification plan. We closed our third RMDS transaction in October. The attractive terms make this a competitive option for funding our growth. Earlier this week, we participated in a bank sponsored securitization conduit. Together, these instruments added an additional $675 million of liquidity to our funding mix. We will continue to expand these and other funding sources in the future. Having more options to ensure we are a reliable source for growth and competitive pricing. Our Ignite program is moving forward. We’re focused on the development and testing required to support the next wave of upgrades, that will focus on the efficiency of our department operations. Our team have been hard at work give us the tools and resources; we need to build an organization that is ready to meet the challenges of the future. Now, looking at our plans for opening up, here at Home. I’m happy to say we have begun to welcome back people into our office. We took the step of requiring proof of vaccination for returning employees. We want our employees and our customers to feel comfortable when there are dealing with people from Home and we are taking steps to make them safe. At this stage, nearly all employees are back in the office one to two days per week as we shape what is the right mix of hybrid working model will look like for us. It is great to see the faces of the home team and hear conversations fill the office environment. People are excited to be together again and learning to thrive in a hybrid meeting and work load. It's no surprise that in addition to being a great place to work, Home was named to best places in Financial Services and Insurance for 2021. I want to say a word about our capital plans, which Brad will discuss in more detail later on. We are pleased with the announcement by [indiscernible] updating regulatory expectations around capital return. Accordingly, we have announced plans for $300 million substantial issuer bid or SIB. This is consistent with our earlier communication that we would move swiftly to achieve our target CET1 ratio. We understand that one of our most important responsibilities to our shareholders is effective management of capital. And we recognize that the excess capital we’re holding is a drag on ROE and that profitability we're able to deliver. The SIB is the first step towards achieving an ROE that reflects the true profitability of this great business we’re in. Looking ahead we still believe the conditions are in place for a healthy housing market. Our broker partners report robust demand in our major markets, with sale gains in all categories of homes, including renewed strength and condominium sales. Employment numbers are increasing, so people are going back to work. The data on the deposit balances show that the consumers have a lot of savings. We continue to follow the Bank of Canada on the timing and the magnitude of rate increases and the potential effect on the market. However, we are not yet seeing costs for concern about credit. Our economic indicators are strong and the B20 stress test provides some affordability cushion against higher rates. In addition, the shorter duration of alternative mortgage book provides an up-to-date view on borrowers’ ability to pay. We will continue to drive value for our Oaken customers and take advantage of opportunities to diversify our funding and we will work to improve our return on equity for shareholders by optimizing our capital structure. Now, I would like to turn it over to Brad for financial review.
Brad Kotush: Thank you, Yousry, and good morning, everyone. This segment of the presentation begins on Slide 6. Net income for the quarter was $54.8 million, a decrease of 6.3% compared with the $58.5 million in Q3 2020. Adjusted net income was $56 million. Q3 net income per share was $1.08 for the quarter compared with the $1.12 in Q3 2020. Adjusted net income per share was $1.10 after adjustments related to our Ignite program. Book value increased by 16.4% year-over-year to $36.40 per share and return on equity was 12.2% for the quarter or 12.5% on an adjusted basis. Once again, we generated double-digit return on equity, while holding substantial levels of excess CET1 capital. Slide 7 shows the sources of the change in earnings per share compared with Q3 2020. EPS was down by $0.4 or 3.6%. Last year's earnings had the benefit of a higher reversal of credit provisions, partially offset by increases in EPS, as a result of a lower number of shares. Average shares outstanding were lower, due to normal course issuer bids during the year. Our net interest margin was 2.58% for the quarter compared with 2.61% in Q2 and 2.51% one year ago. The year-over-year increase in NIM is mainly due to lower funding costs and contributed $0.3 to the change in net income. Our expectations based on our current outlook for interest rates, asset mix and competition with other lenders is that there may be modest volatility in our net interest margin for the balance of 2021. Pre-tax pre-provision net income was consistent with Q3 2020. On a sequential basis, adjusted EPS was down from $1 44 to $1.10 primarily due to lower reversals of provisions and higher non-interest expenses. Those expenses were up primarily from an increase in employee compensation including employee incentives and severance costs. Our efficiency ratio is 47.3%, similar to one year ago. Slide 8 shows originations and loans outstanding in our single-family residential portfolio. Originations grew by 34% over the same quarter last year, with particular strength in our Classic portfolio. Classic single-family on balance sheet, as of the end of Q3 grew 4% year-over-year. Originations in our commercial business declined in the third quarter compared to Q3 of 2020. Q3 of 2020 was an unusually active quarter for us, due to favourable competitive dynamics in place at that time. Originations picked up over Q2 with emphasis on land and instruction rather than restaurants and hotels. On a year-over-year basis commercial loans on balance sheet, at the end of the quarter decreased by 10%, resulting from pay-outs and securitized product as well as loans to retail stores and stores and apartments in particular. Our Oaken channel experienced good inflows this quarter, and now makes up 31% of our total funding. The percentage of Oaken deposits held in savings rather than GICs increased to 23.5% from 18%, as depositors are less inclined to lock-in their funds in a period where rates may rise. Our overall Oaken balance has increased by $82 million or 10% year-over-year. For the year-to-date inflows through our Oaken channel have accounted for all of our deposit growth, as we’ve used a variety of other funding options to provide liquidity. As Yousry said, subsequent to the end of the quarter, we went live on our digital banking app. Everyone here at Home, is excited about the potential of this new platform. Following the end of the quarter, we announced the successful completion of our second RMBS offering of 2021, and effective yield of 1.5% to 8% on the Class A notes. We are pleased that the pricing spread over Government of Canada bonds has narrowed with each issuance. Subject to market conditions, we will continue to be a programmatic issuer of RMBS. We also participated in a bank sponsored securitization conduit. Slide 11, shows the details of our credit provisioning in this quarter. We booked a reversal of $3.8 million compared with a reversal of $7 million in Q3, 2020. The inputs to our third party economic models continue to trend upward, particularly the data on employment. The $3.8 million reversals were roughly evenly between our Stage 1, 2 and Stage 3 loans. Looking at lines of business, the most significant contributor to the provision reversal was our commercial portfolio driven by both changes in risk parameters and actual repayments in this portfolio. For the year-to-date provision reversals have totaled $34.7 million, compared with provisions of $41.8 million in 2020. Commercial loans have accounted for 62% of all year-to-date reversals of credit provisions. As a percentage of gross loans shown on Slide 12, reversals of credit revisions were 9 basis points for the quarter on an annualized basis and 26 basis points for the year-to-date. Net write-offs for the year were $0.2 million across all lines of business for the quarter or approximately one basis point. For the year-to-date, net write-offs totaled $0.4 million or less than one basis point of gross loans. For the first three quarters of 2020 net write-offs were $26.2 million, or 20 basis points of gross loans, of which the majority was attributable to our retail consumer lending portfolio. The inputs to our economic models improved the levels of unemployment as shown on Slide 13, while the outlook for housing prices showed minor decreases across all scenarios. The total probability weighted loan loss allowance was $35.7 million at the end of the quarter, while the allowance using just the base case declined from Q2 to $27.7 million. The probability weighted allowance was approximately $8 million higher than the allowance would have been using just the base case. The next slide shows a breakdown of our $35.7 million allowance for credit losses as of the end of Q3. The chart on the right shows that 79% of our loan loss allowance is attributable to our Stage 1 and 2 loans. The allowance has decreased in all our lending categories due to general improvements in FOI in addition to repayments and releases or reclassification of loans previously categorized in Stage 3. Non-performing loans have declined significantly as shown on Slide 15. Net non-performing loans now make up only 15 basis points of our total gross loans. Meanwhile, our allowance coverage has increased to 22.1% of total Stage 3 loans. Slide 16 shows our CET1 capital ratio of 22.57% at the end of the quarter, an increase of 30 basis points from the end of Q2. For the year-to-date, we have spent approximately $70 million to buy back over 2.1 million shares at an average price of $32.73. This represents a discount of 10% to our quarter end book value. Because we were able to use cash at the holding company level, year-to-date NCIB activity has had no impact on our regulatory capital. As Yousry mentioned, we plan to achieve a CET1 ratio within our stated target range of 14% to 15% by the end of next year. Today's announcement of our $300 million substantial issuer bid marked a significant first step towards achieving our target CET1 ratio. And now I will turn the call back to Yousry for closing remarks.
Yousry Bissada: Well, thank you, Brad. Now I’ll ask Chris to poll for questions.
Operator: Thank you. [Operator Instructions] And our first question is from Etienne Ricard with BMO Capital Markets. Your line is open.
Etienne Ricard: Thank you, and good morning.
Yousry Bissada: Good morning, Etienne.
Etienne Ricard: Congrats on the quarter and the return of capital. I'm just talking, can -- in prior conference calls we talked about expectations for your capital to decline to target levels within an 18 to 24 months period. Now the new plan of reaching the target of 14% to 15% CET1 ratio by the end of 2022 is looking even better. So what else is on your roadmap to return more capital by the end of 2022 in addition to the substantial shortcut [ph]?
Yousry Bissada: Yes, thanks Etienne. We've been consistent in focusing on share repurchases and mechanisms to repurchase shares. We think that the valuation is where we view it attractive for us to repurchase shares. So that's been our focus. We do plan on renewing our NCIB and further to our previous commentary, we would contemplate the resumption of a quarterly dividend after we've completed those share repurchase activities. So you're right, we have accelerated the timeframe and since we talked last August, so it's just a matter of utilizing those facilities. So as I said, we are going to do the -- or we've announced the $300 million SIB, which we expect to close by the end of Q4, and we will renew our NCIB that expires on January 21. And then we will review once the SIB has closed, we'll then review our overall plan and the mix. So one of the key determinants it will be what happens with the SIB and we'll be reporting back with our Q4 results on what we're going to do next in terms of capital return.
Etienne Ricard: Okay, great. And as it relates to funding, this SIB has about $300 million in cash $400 million in securities, how do you plan to balance on one hand funding the SIB and on the other maintaining appropriate liquidity levels.
Yousry Bissada: We're extremely confident in our ability to manage our liquidity. One of the things that we've been doing and have demonstrated over previous quarters is our access to the deposit boards. But in addition to that, we just recently completed our third RMBS transaction. We have just recently started to participate in a bank sponsored securitization conduit. We also have the capability to utilize whole loan sales securitization. And frankly, we only need a modest increase on a daily basis on our deposit funding to be able to work through the funding requirements for this SIB. So we're extremely confident in being able to manage our liquidity in post quarter once we were able to solidify our plans. We participated in the bank securitization conduit as well as the RMBS transaction which collectively brought in over $500 million.
Etienne Ricard: Okay and looking into 2022, how confident are you in a potential credit rating upgrade and how would that help Home secure funding from, even more funding sources?
Yousry Bissada: I think it would be very helpful, I -- our view is that we should receive a rating, but upgrade but that's beyond our control other than the continued performance, and how we can demonstrate that to the relevant agencies. But clearly, an upgrade would open up the deposit note market on a competitive basis. And that would probably be the first thing that we would turn to with once we reach investment grade from both our credit rating agencies. So that will be extremely helpful, but it is not incorporated in any of our liquidity plans. And as I said earlier, we're highly confident that we will continue to be a programmatic issuer of RMBS and that we will continue to work in opening other lines and perhaps be able to participate in further securitization activities.
Etienne Ricard: Great, thank you for the comments
Yousry Bissada: You’re welcome.
Operator: Our next question is from Nigel D'Souza with Veritas Investment Research. Your line is open.
Nigel D'Souza: Thank you. Good morning. I first wanted to ask a granular question on your PCL reversals this quarter. And when I look at your loan categories, specifically single family residential mortgages I see that there was a reversal in your Stage 3 loans there. And I wanted to maybe tackle this a different way, first trying to understand what caused these loans to migrate into Stage 3 to begin with, and I ask that given a backdrop of deferrals and substantial fiscal support programs, could you share with us what the impairment trigger was in the first place to classify these loans as Stage 3?
Yousry Bissada: Well, typically, it would be missed payments and some behavior, they would be over 90 days would generally automatically put them into Stage, or sorry, 60 days would automatically put them into Stage 3. And so as we went through our current delinquency rate is better than it was pre-pandemic. And we've just seen a decline in those Stage 3s as they're either brought current or otherwise yes written by our collections team.
Nigel D'Souza: Got it. And from what I understand the Stage 3 reversals are reflective of workouts and you know, when these borrowers resum their payments, are they resuming the payments at the original contracted mortgage rate, or are they resuming the payments at the current mortgage rate?
Yousry Bissada: It depends on a situation. We may give a restructuring of the loan, and then that becomes a refinance and gets re-underwritten. Sorry if it's brought up to date, we will continue as is.
Nigel D'Souza: Okay, so the reason I ask that is, if we do have an environment of rising interest rates does that at all impact the potential proceeds through reversal that we’re currently seeing in single family residential?
Yousry Bissada: Well, lot of movement in and out of Stage 3 is typically related to their payment or bringing it current. And we're comfortable. Just sorry, just to expand on that in anticipation of further comments. So we're comfortable with affordability, because as you may recall, with this introduction of the stress test in 2018, all the mortgages are stressed to a 2% increase. So that's something that gives us a lot of comfort.
Nigel D'Souza: Okay, that's really helpful. And if I could end on a broader question, from what I understand, if interest rates move up and mortgage rates are trending higher, that benefits the near-prime space, you're at probably higher retention rates and maybe migration from prime to near prime. So is it possible for you to quantify that benefit in any sense in terms of incremental mortgage growth depending on how much incremental mortgage growth or market share do you think you could gain for the first 100 basis points increase in interest rates and the second 100 basis points increase in interest rates?
Yousry Bissada: Well, there's probably two things are going to happen. One is that you need to keep in mind in the near-prime space, if there's typically a lag in mortgage rates moving with deposit rates, so it doesn't happen immediately. We saw some of that in 2018 when the rates rose, we - it took some time for the rate increases to take effect across the market. And we do think that we could get more volumes of the, as we said more, we’d probably get more deals as they can qualify it and majors and major banks and you write the book would be stickier.
Nigel D'Souza: Okay, I appreciate that color. Thank you.
Yousry Bissada: You're welcome.
Operator: Our next question is from Jaeme Gloyn with NBF. Your line is open
Jaeme Gloyn: Yes, thanks. First question, just on the credit side on the Stage 2 loans, noticing an increase in single family Stage 2 loans increasing quarter-over-quarter. Is there anything that you can draw out from that movement?
Yousry Bissada: Yes, I think it's really just ordinary movement as we go through. I don't think there's anything that you would take away that talking about the overall deterioration of portfolio.
Jaeme Gloyn: Okay, with respect to the bank sponsored securitization conduit, like how did the loans that you're placing into that conduit compare to the RMBS loans and also compare to the broader portfolio?
Brad Kotush: They're probably closer to -- they have similar covenant quality there. They are classic loans that we're putting in there, so I'd say it's pretty similar to the RMBS.
Jaeme Gloyn: And would that be similar or higher or weaker credit quality or loan quality compared to the borrower portfolio?
Brad Kotush: Similar.
Jaeme Gloyn: Okay, in terms of the credit recoveries today, and looking at the ACLs versus the base case scenario of $8 million what's a reasonable expectation to think about in terms of how much of that can still be released over time?
Brad Kotush: Our view right now referring to be residential portfolio is that, aside from Stage migration, we're probably not going to see and subject to any improvements and significant improvements in the forward looking information, we're probably not going to see any significant recoveries in the single family ECR. The portfolio growth as we continue to originate more loans, is going to presumably generate easy, we're going to generate provisions as opposed to reversals. And as we saw in the results, commercial is a little more volatile, they have -- the loans are typically much larger size. So that's something that will move separately from our overall expectation related to our residential portfolio and the other two portfolios, I think are relatively stable. So another way of summarizing it is, we do think that as residential grows, we'll probably be booking provisions instead of recoveries and commercial depends on volume and staging.
Jaeme Gloyn: Okay, got it. And last one from me, just in terms of the non-securitize net interest margin, declining for a couple of quarters in a row here. Still high historically but declining for a couple of quarters in a row. What do you see on the -- on the portfolio evolution early here in Q4? Is this a trend that looks like it could continue as mortgages continue to renew at that slightly lower rates and the deposit pricing starts to back up a little bit, is this something we should expect for a couple of quarters here at least?
Brad Kotush: Yes, is the short answer Jae. So it's a competitive market. We were seeing strong covenants, the overall impact obviously we're striving, but it's competitive and one thing that's happening, and so we're really pleased with the originations and as we build our prime book up, we're going to want to be keeping more than ever, our goal is to keep more of these mortgages on our balance sheet, so that any marginal declines in them will be more than made up for increases in volume.
Jaeme Gloyn: Okay, and on that same theme we've -- I’ve heard one of your competitors talk about maybe leaving interest rates a little bit lower through the initial rate hike cycle, is this something you’ve given thought to, to maintain a little bit more spread as the deposit costs increase generally?
Brad Kotush: Sorry, maybe again talking about the mortgage rates or the deposit rates?
Jaeme Gloyn: No deposit rates, so holding deposit rates stable while prime rates and the Bank of Canada is hiking interest rates in that environment, is that something you've given thought to as a strategy to maintain margin stability?
Yousry Bissada: Jaeme, its Yousry here. The main driver is competitive forces. You can want to not change your rates to side-step, but competitive forces may force you to move, because we compete with a lot of different banks and institutions on the deposit side as we do on the lenders side. So it's, you can manage it as best you can, but you’ve got to get the volumes you're looking for.
Jaeme Gloyn: Okay, great. Thank you very much.
Yousry Bissada: Thanks, Jaeme.
Operator: Our next question is from Graham Ryding with TD Securities. Your line is open.
Graham Ryding: Hi, good morning. Any details on the timeline? The timeline and the process for this substantial issuer bid?
Brad Kotush: Yes, well, we announced today Graham, as you know, and we're intending to close by the end of Q4. And that's probably as specific as we're going to be as we work through seasoning process to determine the price range related to the offer.
Graham Ryding: Okay, so similar to your last SIBs here, you'll come out with a Dutch, terms or the Dutch auction at some point in the near future, I guess?
Brad Kotush: Yes. Sorry, Graham. I kind of got ahead of myself there. Yes.
Graham Ryding: Okay. Jumping to you made a comment just volatility around NIM, potentially I think it was more of a near term comment, but what was driving it that, is it a reflection of competition or I missed your message there?
Brad Kotush: It’s certainly competition on the asset side as well as on the liability side. So we have -- we're very much focused on growing our book through origination and so to a certain extent, we are being perhaps more competitive on rates, than we have been previously and particularly through the pandemic. So and I think I’d refer back to remarks that Yousry had made on our last call in terms of we went -- we had more conservative underwriting criteria through the pandemic, we relaxed it, and starting on last week we’re going back to our old stringent underwriting standards, and we're also expanding some of our geographies where we want to look at increasing our exposure. So we're very much focused on growth well, being very prudent with our NIM.
Graham Ryding: Understood. What would some of those new geographies do that in turn [ph]?
Brad Kotush: Well, it's more an expansion of some of the postal codes. We get very granular with where we're focused, as well as we may now be working with higher loan to values and we adapt our pricing towards that. So we have a great underwriting team, who takes a look and most of it will still be focused in our Ontario and BC markets.
Graham Ryding: Okay. As you're exiting 2022 and hopefully your capital has been right sized into that targeted 14% to 15% CET1 ratio what sort of ROE are you targeting beyond that? [Technical Difficulty]
Operator: Ladies and gentlemen, please stand by. We're just having a small technical difficulty. Conference will resume momentarily. [Operator Instructions] Thank you. Again, sorry for the delay. You should have our presenters back on the line in just a moment. Please stand by. Sorry for the delay ladies and gentlemen. We do have the speaker line reconnected.
Jill MacRae: Again we’re sorry for the delay. Graham I’d like to meet you in the middle of the question. [Indiscernible] may I ask that you please repeat your question?
Graham Ryding: Yes, thanks Jill. What sort of ROE are you targeting when you are exiting 2022 and you are right-sizing your capital level?
Brad Kotush: Well, we’re being mid-teens is our target.
Graham Ryding: Okay, perfect. That’s it from me, thank you.
Operator: [Operator Instructions] If there are no further questions at this time, I’ll turn the call over to Yousry Bissada for any closing remarks.
Yousry Bissada: Thank you, Chris. We’ve got a lot accomplished this quarter with progress in our lending, business, our funding, our technology and our capital strategy. I thank the team at Home for their efforts and look forward to seeing them all in person again. As a reminder, we have an Investor Day coming up on the 23rd of November. You should all have received an invitation and for those who didn’t please contact Investor Relations. I hope that many of you will join us either in person or virtually. Thank you for your interest in Home Capital and I wish you all a good day and a good weekend.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.